Hogni Dahl Jakobsen: [Audio Gap] a profit warning on 15th of July, and this is in line with what we are presenting today. So in the second quarter, we had revenues for DKK 1.6 billion and an operational EBIT of DKK 65 million. The Faroese harvest in the quarter was 16,000 tonnes, 5,800 tonnes up from the same quarter last year. In Scotland, we harvested 7,000 tonnes, which was 4,300 tonnes lower than the same quarter last year. At our FOF division, feed sales increased by 14% in the quarter to 37,500 tonnes. We sold 5,000 tonnes of fish oil. Fishmeal was also lower than in the same quarter last year, 9,000 tonnes in this quarter. Sourcing in this quarter was very strong, 160,000 tonnes of marine raw material were sourced in this quarter compared to 90,600 tonnes last year. Cash flow from operations were negative with DKK 204 million, and all segments had positive EBIT except for the Scottish freshwater and Farming segments. We also paid out dividends in the quarter amounting to DKK 501 million, corresponding to DKK 8.44 per share that was paid out in May. So moving on to markets and sales. The market has been negatively impacted on the price side in this quarter. The average price for 4 to 5-kilo salmon was NOK 74.64 per kilo, which is a 33% reduction compared to last year and a 20% reduction compared to previous quarter. There has been a downward trend throughout the whole quarter and also continuing into the third quarter. The large increase in supply, especially from Norway, but also from other regions, which have contributed to the supply growth have put prices under pressure and also reduced the price premium normally achieved for larger fish. So that has been significantly lower in this quarter. According to the latest update from Kontali, global sales volumes in this quarter increased 17% compared to the same period last year, and sales to all markets increased. EU increased the consumption or the sales to the EU increased with 31,000 tonnes, corresponding to 13%, which was around half of the European supply increase. So a larger share of the European supply has been exported to other markets, mainly China and to the U.S. The U.S. sale increased with around 17,000 tonnes, corresponding to 12%, significantly above the U.S. -- or the American supply increase, so more imported volumes. Tariffs have not had any significant impact on trade flows in this quarter. So U.S. demand has still been strong. In China, sales to China has grown strongly. China took 52% more volumes in this quarter. A significant portion of that increase is salmon from Norway. Norway has consistently supplied China with around 10,000 to 11,000 tonnes of whole fish equivalents during the quarter, up from around 8,000 tonnes in the previous quarter on average. The global harvest in the quarter increased 18%. So there were some inventory movements. Growth was mainly delivered by the 24% increase from Europe. and Norway, as mentioned, in particular, with a 27% increase. Seawater temperatures have been higher in Norway. Biological performance has overall been good and a significantly lower share of production-grade fish coming from Norway. That share has dropped from 30% to 17%. Feed sales have also been strong in Norway, 16% up in the second quarter. However, slightly down in July as the number of fish in the water in Norway has reduced. It is around 3% less at the end of July compared to last year. In Scotland, harvest have dropped slightly, 3% down. But also there, we have increased feed sales with 8% and a slight increase on the average weight also to 4.5 kilo for Scotland as a whole. Bakkafrost, however, we have increased our harvest weight with 45% and which corresponds to 5.9 kilo in this quarter. In the Faroes, we have had very strong growth. Harvest has increased by 51%. That's mainly driven by Bakkafrost. Our biology has been very good, the best ever actually or at least in the last decade or so. Large fish, low mortality and a 30% -- 31% increase in our feeding in the Faroes as a whole and also strong continuing into the third quarter. Harvest from the Americas, Chile was up with 15%, also 50% on feed sales and Canada was down with 19% on harvest volumes. So moving on to financials and starting with the P&L. So the revenue decreased, as mentioned, to DKK 1.575 billion. operational EBIT down from DKK 388 million last year for the group to DKK 65 million in this quarter. We have fair value adjustments of minus DKK 187 million, and revenue taxes amounted to minus DKK 25 million in this quarter compared to minus DKK 84 million in last year. That is, of course, a result of the lower salmon prices. Profit after tax was negative with DKK 138 million. Our adjusted earnings per share in this quarter were minus DKK 0.1. On the balance sheet, we have increased our property, plant and equipment with DKK 185 million since year-end. That amounts now to DKK 6.9 billion. Fair value of biological assets amounted to DKK 2.6 billion and inventory have increased quite significantly, DKK 322 million in the quarter to DKK 993 million. This is mainly driven by the sourcing at Havsbrún, where we have produced a lot of fishmeal into inventory. Receivables have dropped DKK 316 million. Cash and cash equivalents were DKK 205 million at the end of the quarter and the equity ratio 59%. And moving on to cash flow from operations, as previously mentioned, negative with DKK 204 million. Cash flow from investments were negative with DKK 238 million and positive from financing with DKK 397 million, meaning a net change in cash of minus DKK 45 million. In this quarter, we have increased our net debt to around DKK 3.8 billion. The dividend payment of DKK 501 million and the changes in working capital are the main drivers behind that. And we have DKK 1.6 billion in undrawn credit facilities at the end of the quarter. And finally, before handing over to Regin to go through the operations and outlook, I want to point your attention to Note 3 in the accounts, which disclose how we have changed our internal invoicing between the Farming segment and the sales and other segments. In short, we have removed the freight cost, which previously was both expensed and invoiced back. So it was both a cost and an income to the Farming segment. That was due to the previous revenue tax regulation in the Faroes. With the changes that were introduced on the 1st of January, we have decided to remove that freight element to provide more transparency and give a clearer picture of the true costs in the Farming segment. So we have included an appendix also in the report, which shows the comparable figures for last year if the same method was applied last year. And with that, I'll hand it over to Regin.
Johan Regin Jacobsen: Thank you, and good morning. And we will start with the FOF segment. In this quarter, the FOF segment delivered strong feed sales, but lower external sales of fishmeal and oil. The growth in the Faroes is, of course, the primary driver for this. The marine raw material sourcing was also very strong, DKK 160,000, which is 77% up from last year. Last year, we had the strike, which was not this year. So we had good sourcing this year. Feed sales increased 14% to 37.5 kt versus 33 last year. External sales declined, fishmeal, 9,000 versus 15,800 and only marginal sales of marine oil or fish oil. Inventories have been built. So we have more fish meal, especially on -- in inventory. The operational EBIT from the FOF segment was DKK 89 million versus DKK 112 million last year, which is 21% down and the margin was 13%. Looking at the prices of these raw materials, which are, of course, drivers for the farming cost, the feed cost. Fishmeal have increased slightly in the quarter, but fish oil continued to drop. Vegetable ingredients have moved slightly up. So overall, there is an overall downward trend in raw materials for feed, which, of course, is positive for feed cost and will continue to lower farming costs going forward. Moving to the freshwater operations. In the Faroes, the ramp-up after our expansion in Glyvradal and Norðtoftir continued in the second quarter with new production records. 5.4 million smolts are transferred in this quarter versus 4.5 million last year. Full year transfers are still maintained at 18.5 versus 17.1 last year. The average smolt weights are increasing, 464 grams in this quarter versus 391 last year, which is significantly reducing biological risk and supporting the higher productivity. Operations continue to deliver high-quality and robust smolt, which is a key driver for the low risk in our marine operations and productivity in Bakkafrost in Faroes. The operational EBIT increased to DKK 85 million versus DKK 74 million last year, 15% up, and the margin is 36% versus 40% last year. On note, we can report about a very strong biology, a robust smolt. And the main indicator here is the 90 days mortality post stocking, which is now all-time -- so survivability is all-time high. Mortality is all-time low. And that means that 97%, 98% during the first 90 days after transfer, all inclusive, everything, absolutely everything, which is record high levels. With improved capacity utilization, robust smolt and strong availability, cost per smolt is trending down and expect it to continue in the future and coming months. So the Faroes Freshwater division has stepped up to a new level, delivering smolt of unprecedented quality and robustness, which is the strongest foundation for our farming in the future. Coming to Freshwater Scotland is another story. In the second quarter, the transfers in Scotland were lower, 0.9 million smolt versus 1.5 million last year. However, the average weight was 170 gram compared to 95 gram last year. And smolt produced internally at Applecross reached 243 gram versus 95 last year. The financial impact of the issues in the quarters of the mortality was DKK 52 million, and the operational EBIT was minus DKK 72 million in the quarter. Cost per smolt is obviously very much impacted by the volume, which is not yet where it must be. The overall target for '25 is now after the incident at Applecross taken down to 6 million to 7 million smolt, about 200 gram to marine farms, which is compared to DKK 6 million last year at 100 gram or 109 gram. The construction is coming to an end. The last part, 87, is expected to be complete now in '25. All other units are now in operation and being scaled up. Talking a bit about this impact at Applecross. The second quarter was impacted by a major incident in the D1 module at Applecross, causing significant mortality and a full cleanout of the stock. Insufficient biosecurity during construction works triggered a severe disease outbreak, leading to culling of most of the fish in the affected module. The direct financial impact was DKK 52 million, but of course, also lost fish will have impact. The freshwater division in Scotland is now being integrated into the freshwater unit in Faroes and organized under one group Freshwater Director. A new local management at Applecross, supported by experienced staff from the Faroe Islands is now on place. As production scales up over the coming quarters and operational control improves, we expect a gradual recovery on biological performance and capacity utilization. This will reduce our Scottish operations, which so far has been unacceptably high the risk in our operations. The biological cycle from egg to 250 gram is around 12 months. The current biomass at Applecross or at our freshwater division in Scotland is currently 13 million individuals. This includes 4.5 million from the June, July batch this year. Another 4.5 million will be hatched in October. With new management, we aim to successfully scale up the smolt production in Scotland over the next 12 months, enabling the planned transfer in '26. The new management team is reviewing all procedures and operations, and we will report back at the next quarterly presentation. Farming in the Faroe Islands. In this quarter, we harvested 16,000 tonnes versus 10.2 last year, 57% up. The average weight of the harvested fish was 5.2 kilos versus 5.5 last year, slightly lower but solid numbers. The operational EBIT was DKK 4 million versus DKK 206 million last year, DKK 31 million versus DKK 20.19 per kilo last year. The decline is fully explained by the significant drop in salmon price. Biological performance was very robust and remains very robust. Strong growth, efficient sea lice transfers, sea lice management and low mortality. Survival rates are at the best levels we have seen in the Faroes in a decade. Feeding in the quarter was 46% up. Growth trend continues into the third quarter with 31% improved in the first 7 weeks of the third quarter or 31% growth compared with last year. Growth at record high levels, supported by stable seawater temperatures and good biology. Survivability at a decade high levels, which is key for productivity. Farming cost 12% down versus the same quarter last year, driven by reduced risk, improved productivity and volume growth. So the Faroes farming operation remains the backbone of Bakkafrost, delivering strong growth, excellent survivability and a solid biological platform for future operations. And if you look at the note on our inventory, you see the biomass supports a good growth, which is also, of course, the reason for our guidance -- upgrading guidance for this year and supports also a very strong platform for next year, which we will revisit when we come to next quarter presentation. Looking to Scotland. In this quarter, we harvested 7,000 tonnes versus 11,400 last year, 38% down. The average weight was 5.9 kilos versus 4.1. This is 45% up, all-time high for the second quarter. However, the operational EBIT in the quarter was minus DKK 127 million versus plus DKK 111 million, so minus DKK 28.36 per kilo versus plus DKK 15. So a big difference. The negative result was mainly driven by lower salmon price, market price, lower volume and DKK 39 million, which is expensed as extraordinary mortality. The biological performance is a bit of a mixed bag in this quarter. The strong growth and large fish is a very good indicator and creates a good value for Bakkafrost. But there were 2 farms which were impacted by mortality events, furunculosis, CMS and PD, which had a heavy impact on these sites. The harvested volume shows a sharp reduction versus last year. The average weights are very good in progress, and we see that we can grow large fish in Scotland and also high-quality fish, which have been sold to the market at really, really good prices. And we see also that our key performing indicators in Scotland are now moving in the right direction with really good growth, also good feed conversion ratio, which are good improvements. But ringside cost is, of course, heavily impacted by the low volume, which will be coming up when we have our risk in better control. Looking at smolt and pipeline. The first large batch of large smolt was transferred from Applecross back in January this year. This fish was not exactly where we want them to be, but they have been performing really, really exceptional. They were transferred in January and will -- are expected to be harvested already in January next year. So they were transferred at around 200 gram or 180 gram and we are expected to be harvested already in 12 months. That's a really, really game changer and will be a milestone when they are harvested. So operations remain in a transition, I would say, at the moment as we need more robust and large smolt to enter the sea. But we are just now expected to see this start. So gradual improvement in biology, lower risk and strong cost performance is expected to be seen as we will gradually ramp up during the next 12 months from Applecross. Coming to the Service segment. In this quarter, the Service segment delivered solid results driven by efficient sea lice mitigation and major improvements in smolt transfer. And smolt transfer is a part of this segment to transfer the smolt from the hatcheries to the farms. And the reason why I emphasize this is because this is a really -- this is the start of the smolt, and this is very important to have a good and healthy and strong marine operation. In this quarter, this segment delivered an EBIT of DKK 17 million compared with DKK 12 million last year, so 42% up. And this is DKK 1.6 per kilo versus DKK 87 last year. So smolt transfer is a key area. And if you compare with a few years back, we used to transfer around 1,000 tonnes per year. Last year, we transferred 7,000. So we have doubled this number, but this will increase to 12,000 tonnes in -- shortly as numbers and average weight in Faroes are increasing. So we are going to double that volume in short time. So we have converted one of our vessels, Martin, for this job. And this has now been ongoing for 12 months. So, conversion of Martin tripled our capacity. Originally, this was an offshore vessel, and we have repurposed 10 of the tanks for smolt transfer, and this has improved our operations significantly. So this is a system designed in-house, fully automated to control oxygen, CO2 and key water parameters, which ensure all the best fish welfare and survivability in the transfer. The benefit of the conversion is optimized capacity to match transfer volumes, gentle handling, we are pressure-based transfer, no pumping, guaranteed water quality throughout the journey and high cost effective because repurposing existing assets. So the performance so far has been that we have transferred 5,000 tonnes with Martin and the survivability in all transfers have been above 97%. So this is also a part of the driver for higher survivability and a better start for the fish in the water. So strong fish welfare and early start of feeding after sea transfer. And now as we speak, Bakkanes, which is the sister vessel to Martin, has been undergoing the same conversion and has -- and is operating in Scotland and has now started operation in Scotland with the same purpose to transfer smolt from up to coast to the sites where we have used third-party vessels, different vessels with very mixed bag of results. So Bakkanes went back to Scotland end of July and is now in full operation to do this. And we expect this will also be one of the drivers for improved results in Scotland going forward. So coming to sales market. Operating as one company enabled record high sales from Scotland to both the U.S. and China in this quarter. Volumes to value-added products increased sharply with 50% more Faroese production allocated to VAP compared to last year. Overall, sales volumes increased and revenues were positively impacted by the improved premium realization. The operational EBIT improved to DKK 97 million versus minus DKK 57 million last year. So, plus DKK 97 versus minus DKK 57 last year. And this corresponds to a margin of 4% compared with minus 2% last year. And the difference is quite important. It's plus NOK 65 versus minus NOK 4. So the difference is NOK 10. So it's a big difference. And this is driven by good premium. So we have managed to lift our premium from minus DKK 1.37 to plus DKK 5.84 per kilo despite the challenging market conditions. Western Europe market continues to be our largest market, but U.S. and China grew most strongly in this quarter, supported by our one company approach and challenging and being able to channel a large fish from Scotland to the overseas markets. China volumes doubled, though lower premiums because of the pressure of supply to this market segment. Retail and branding efforts have gained traction. Heimland brand, which is a Bakkafrost brand, is now present in retail and catering chains, both in Europe, U.S. and Asia, which strengthened our premium position. So our marketing and sales have really done well in the quarter. So -- and despite this global pressure of salmon prices, our One Company strategy and stronger branding has managed to increase the value and better premium capture lifted our results significantly in this quarter. So I would like to go through this, which I normally don't to -- because there's a big change in the value, especially from the market. So this waterfall, if you look at the Faroes, we see that the big change from DKK 20 per kilo to only DKK 24 is a decline of around DKK 20. And the main driver was the price reduction, which is DKK 22, actually more. And this is offset by positive reduction in cost price, which benefits with DKK 5 per kilo in Faroes. So even under heavy pressure, the Faroes operations have remained profitable, demonstrating resilience and strong biology and cost control, which, of course, is very much in focus when you are forced to be in this challenging water as we are at the moment. When you look at the Scottish operation, we see that the EBIT per kilo dropped from DKK 9.79 last year to minus DKK 18.13. So it's a drop of DKK 28 per kilo. And the price effect is DKK 27 per kilo. So it's more or less the same or DKK 1 difference. But in this area, we see that the cost improvements have actually benefited with DKK 5.8 per kilo, but then we have lost value with exceptional mortality and other items on production cost on that. So Scotland is showing the most dramatic turnaround in the group from profitable to deeply negative in this year, underlying the urgent need of robust large smolt and good and improved biology in Scotland. When we look at the performance per region, we see the contrast between Faroe Islands and Scotland. The operational performance in Faroes was an EBIT of DKK 211 million versus DKK 274 million last year. The EBIT per kilo declined from DKK 13.15 from DKK 26.86 driven by lower salmon prices. In Scotland, the operational EBIT turned to minus DKK 146 million versus plus DKK 113 million. The EBIT per kilo dropped to minus DKK 20.70 from plus DKK 10, a swing of more than DKK 30 per kilo. And this is caused by exceptional mortality, lower volumes and underutilized capacity. So the Faroes operation remains solid, profitable, also with lower salmon prices. The Faroes farming remains the backbone of the group, while the Scottish result is urgently needed the completing of the transition to robust large smolt. So coming to the outlook for the industry and for Bakkafrost. We see a reduced growth ahead. Global supply growth will slow down in the second half of '25 compared to the strong growth in the first half of the year. And especially the availability of ungutted salmon for the spot market will come down to a totally different level compared with last year. Good biology in Norway have supported strong growth so far this year, but supply is expected to slow in the second half as MAB restrictions and fewer fish in the water limit the harvest. In Faroes, volumes are significantly higher year-on-year, driven by larger and more robust smolt, strong survivability and solid growth in the first half of the year. In Scotland, Marine operations remain mixed, but improvements are emerging with higher volumes expected going forward. So Europe, overall, we see that the growth is behind us on the supply side this year. Harvest is now expected to come down to maybe 2% to 3% in the second half and close to 0 in '26. In Chile and Americas, the supply will pick up in the second half after a weak '24, and they will probably be peaking in the fourth quarter. North America remains stable with normal seasonal patterns. So overall, for '25, harvest will be higher than '24, but growth which will be much reduced in the second half. And looking into '26, we expect around 2% supply growth and a more muted outlook from the supply side. For Bakkafrost, we are raising our guidance for this year to 104,000 tonnes versus 97,000. Faroe Islands from 7,000 up to 82,000 Scotland from 20,000 to 22,000. And this is, of course, because of our strong development so far this year in Faroes and in Scotland. The biomass is higher in the Scotland, especially the average weight of the harvested fish has been high. So the numbers are still available. Harvest profile reflects our derisking strategy in Scotland, where 58% of Faroese volume will be harvested in the second half. So it's the opposite. In '25, the smolt transfer is expected to be 18.5% in Faroes, which is same as before, but we are lowering our guidance to 6% to 7% for Scotland after the issues. So totally, 24.5% to 25.5%, which is 10% up from last year. larger, more robust smolt underpins lower risk, stronger survival and higher productivity. On the contracts, we still remain with around 10% to 15% of our sales on contracts, balancing stability with flexibility to capture market premiums. At a later point, we will be open for increasing contracts when market conditions are the right. Fishmeal, oil and feed production is broadly similar as last year. Lower raw material prices will benefit farming costs in the second half of this year. The strategy for Bakkafrost is unchanged. Growth targets 165,000 tonnes by 2028. Sustainability growth focus on robust smolt efficient feed and fish welfare. Key objectives are progressing, which are mainly at the moment, the Skalavik hatchery, the Havsbrún expansion, which are critical for our long-term resilience. Yes, I guess I said 165,000 by '28. So that's -- so from our CMD update in June, our target is 162,000 by 2030. So I had that wrong. Our long-term investment plan is still the update from the Capital Market Day. We have made some small adjustments in the investments in '25, where some of the investments will be postponed to '26. But the strategic focus is still the same and the journey is still the same to reduce the risk, to increase productivity and drive organic growth. The key projects include large smolt capacity in Faroes and Scotland, feed capacity and new harvest and processing facilities in Scotland. Given this current market environment, part of the '25 investments have been moved into '26, but we are quite excited about the outlooks for '26. This creates a smoother, more balanced investment profile without altering our long-term ambition. Our strategy and commitment remain firm with robust biology, stronger balance and a clear investment priorities, Bakkafrost is well positioned to deliver a sustainable growth and long-term value. We are firmly on track with robust operations, a clear strategy and the investments needed to secure sustainable growth and long-term value creation, we think we are on the right path. Thank you very much. And now we are open for questions.
Unidentified Analyst: Can you say something about knock-on effects we should expect in 2026 on volume and cost from the issues in the smolt facility in Scotland?
Johan Regin Jacobsen: Yes. As we are reducing our smolt guidance this year, of course, that will have some impact, some negative impact on the harvest next year. So I guess that it will be a more or less stable development on the volume from this year to next year, but we will revisit that on the next quarter presentation. But I think it's fair to expect a level around the mid-20s next year as well as we don't have the fish in the water.
Unidentified Analyst: And on the Faroe Islands, could you try to decompose the reasons behind the volume guidance upgrade? How much is better growth due to higher temps and how much is lower mortality and other effects?
Johan Regin Jacobsen: Yes. That's a good question. We have, as you just pointed out, had good growth temperatures in the winter in Faroes with slightly higher temperatures, which are positive for the growth in Faroes and have been really good environment for good growth in the Faroes in the first and second quarter. But just as you mentioned, we have also had low mortality. So we are trending around 10% or maybe even below 10% on a full generation-based mortality, which is down. We used to be maybe at 15%. So our mortality rates are around 50% down compared with earlier. And that, of course, gives us more fish for harvest rather than for loss. So that's a part of the driver. And then a part is strong growth. How much is from improved survivability and how much is from improved growth? I don't have a number on that. But those are the 2 drivers, which gives us more growth this year and as things also looks at the moment also for next year.
Christian Olsen Nordby: Christian Nordby, Arctic Securities. Can you give some comments on cost development in Scotland ahead with as low volumes as you have there? Will it be quite stable as it's been in the past? Or do you see any improvements from the larger smolts?
Johan Regin Jacobsen: We won't see the -- so we expense the cost of the fish when they harvested. So that means that for next year, we'll probably maintain more or less the same level. There are a marginal drop in operational costs, but those are not so important compared with low utilization of assets. But -- and we are not totally out of the challenging waters in Scotland yet. I guess, because of the risks that we have had right now, we have to expect -- and now with the change of management, we will have to revisit this subject on the next quarter presentation where I will give you more clear visibility into this. So I guess that for the next 3 months, we will say, okay, things must be more or less unchanged. Hopefully, at the next presentation, I can give a bit more visibility. But I also mentioned the numbers at Applecross at the moment, 13 million fish plus around 4.5 million, which is in biomass at the moment. And it's around 12 months cycle to grow them to 250 gram. So by this time of next year, we have -- depending on how good we now -- we have been -- we have really been bad in our operations. And if we can now manage to be better, -- then it's -- normally, we would say that 62% of the eggs that you stock will be a smolt. So -- and some of this fish, which is now in the biomass has been grown for a couple of months. And as this gradual growth will come, we will see a reduction in costs because there will be more fish to allocate the costs on. So we used -- we have said that '25 was a transitional year. I expect that the transitional year will at least go another 6 months. Hopefully, then second half of next year, we will be more -- we will have more fish in our biomass to allocate costs on, and then we should see a positive trend.
Christian Olsen Nordby: And in your sales and market segment in this quarter, you say you have a higher price premium, but how much of that EBIT is also driven by fixed price contracts?
Johan Regin Jacobsen: As you know, our fixed price contracts have been taken down as a result of the changes in the tax situation in Faroes. And therefore, the total volume in fixed price contracts are around 15% of our total revenues, up from last year, but it's a lower volume than it used to be. And if we had sticked to our normal strategy as it used to be, it would have been a benefit in this quarter. Any other question? No? Then thank you very much.